Operator: Good afternoon, ladies and gentlemen, and welcome to Global Industrial 's Fourth Quarter 2021 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mike Smargiassi of The Plunkett Group. Please go ahead.
Mike Smargiassi: Thank you. And welcome to the Global Industrial Fourth Quarter 2021 Earnings Call. Leading today's call will be Barry Litwin, Chief Executive Officer, and Tex Clark, Senior Vice President and Chief Financial Officer. Formal remarks will be followed by a question-and-answer session. Today's discussion may include certain forward-looking statements that should be understood that actual results could differ materially from those projected due to a number of factors, including those described under the forward-looking statements caption, and under Risk Factors in the company's annual report on Form 10-K and quarterly reports on Form 10-Q.  The press release is available on the company's website and has been filed with the SEC on a Form 8-K. This call is the property of Global Industrial Company. I will now turn the call over to Barry Litwin.
Barry Litwin: Thanks, Mike. Good afternoon, everyone. And thank you for joining us. We ended 2021 with another solid financial performance on both the top and bottom line. Revenue in the quarter increased 3.5% on an average daily sales basis, led by our managed sales channel, which continues to drive growth from core customers. For the full year revenue grew to $1.06 billion, average daily sales improved 5% and our two-year compounded annual growth rate was 6%.  Customer demand was strong during the quarter and we continue to be pleased with the performance of our core product lines. Open orders have doubled since the beginning of 2021 as a result of a going constraints within the supply chain, but we're flat the last three months of the year. This elevation and open orders has restricted 2021 top-line results and had a modest impact on operating leverage as the company incurred variable selling expenses to generate these orders, which have been delayed in their fulfillment. We are currently optimistic that supply chain challenges may normalize as we move through 2022. However, if they continue, we have shown and remain confident in our ability to manage through these challenges. Profitability remains strong as we mitigated significant product and transportation cost inflation, and leveraged pricing intelligence to deliver another quarterly gross margin record of 37%.  For the second consecutive quarter, we achieved double-digit operating margins, the first time the company has achieved this level of profitability in back to back periods. We generated over $26 million of operating income in the fourth quarter, an increase of approximately 24% from the prior year, and for the full year, generated $88 million of operating income. In December, we paid a special $1 per share dividend, and today, increased the quarterly recurring dividend for the sixth consecutive year. I'm really proud of how our organization has responded and risen to the challenges of the last two years. From the onset of the pandemic to unprecedented supply chain constraints. Our entire team has continued to execute on the ACE strategy, delivered for our customers, and allowed us to grow and strengthen the business for the future. We even embraced a can-do attitude and enhanced our customer-focused culture during a difficult operating environment.  In the past year, we further build out the team, as we on-boarded senior leaders in sales, merchandising, operations and legal. We promoted key talent to new roles and drove higher associate engagement, which is reflected in continued improvements in our annual employee engagement survey.  We also launched an entirely new brand identity and change the company name and ticker symbol, which formerly aligned our business to our key stakeholders, including our shareholders. From the customer and digital experience through our distribution network, we made improvements in essentially every aspect of the business.  Now as we move into 2022, our ACE focus is one of continued investment and execution that we believe will allow us to expand market share and capitalize on our growth opportunities. In our sales organization, we will be expanding our sales team with a key focus on public sector sales as well as launching a strategic account management team that's focused on larger, more complex accounts.  In new business development, we aim to drive important growth as we ramp up public sector and private market relationships and expand field support through our territory sales management program. Execution of these initiatives is targeted at broadening and deepening existing relationships while purposefully driving entry into new customer end markets. Private brand remains a key focus that brings the strong margin profile and a point of difference in the market for our sales organization. As we look to expand the product verticals we serve, we will continue to leverage our private brand capabilities, as well as vendor relationships.  On the digital front, Global Industrial is committed to remaining a leader in digital transformation. It's our mission to offer our customers a modern, informative, and friction-free user experience across all digital channels. We are currently developing a new website platform with a completely updated user experience across desktop, tablet, and mobile. With additional features, personalization, a new look and feel, and navigation.  We continue to roll out new and innovative programs and content that highlights Global's position as a trusted partner in our customers. In the first quarter, we launched the We Got This campaign focused on the partnership we formed with customers and our ability to support them in the current business environment. These campaigns helped us drive engagement by directly relating to current challenges and opportunities our customers face, and creating a rallying point for our internal teams.  Across the organization, we are taking steps to deliver efficiency improvements. For example, we'll be launching a new CRM that brings all customer service tools into a single platform. This will help us deliver a better customer experience and drive efficiencies within the customer service team. In our distribution centers, we recently started implementing advanced slotting techniques, which will improve order processing speeds and enhance productivity. And we continue to explore various technology and automation opportunities that could improve the customer experience and efficiency of our operations. In conclusion, we had a great 2021, growing the top line and delivering strong improvements in profitability as we navigated the ongoing impact of COVID and supply chain and inflationary pressures. While we expect these challenges will remain elevated, we are proactively managing these external factors and aggressively addressing issues within our control. We are continuing to innovate and strengthen our competitive position.  We are investing in our ACE strategy, specifically in areas such as sales, marketing, private brand, digital transformation, and distribution, all of which are targeted to help us drive better execution, enhance our ability to deliver an exceptional customer and service experience and support our growth for years to come. I'm excited by the momentum I see in the company as we continue to drive operational excellence in everything we do. We are building a world-class organization, developing a culture of innovation and creating a company where every member of our team is dedicated to the customer. I'll now turn the call over to Tex.
Tex Clark: Thank you, Barry. I will now address our performance in more detail. In the fourth quarter revenue was $262 million, a decline of 4.3% over Q4 of last year, which had benefited from five additional selling days. Normalizing for the impact of selling days, cumulative average daily sales increased 3.5%. U.S. ADS increased 3.8%, while Canada ADS declined 3.3% in local currency. Results in Canada reflect a difficult comparison with the year-ago period, as we lapped exceptionally strong PPE sales in 2020. Overall sales trends improved as we move through the quarter.  Looking at our performance on a 2021 to 2019 basis, which normalizes results against the surge benefit in PPE sales in 2020, the two-year growth improved from 8% in Q1 to 18% in Q4. And on a two-year CAGR basis was 8.6% for the fourth quarter and 6% for the full year period. We continue to see growth in core product lines and our private brand offering once again increased as a percentage of total sales to over 45% for the full year.  Our performance was led by growth in our managed sales channels, E-commerce orders made up 56% of total transactions in 2021, which is an 800 basis point increase since 2019. Customer demand remained strong in the quarter. However, due to despite chain environment, we experienced extended fulfillment times and continued to see an elevated number of open orders for both stock and drop ship products.  Open order volume remained essentially unchanged from third quarter. We are optimistic that we'll see a reduction in open orders as we move through the year, and as the supply chain normalizes. Gross profit for the quarter was $97 million, up 4.2% from last year. Gross margin was a quarterly record of 37%, an improvement of 300 basis points from the prior year and up 20 basis points on a consecutive quarter basis.  This was our second consecutive quarter of record gross margin performance. Gross margin in the quarter reflects the impact of price rationalization, favorable product margins as the private brand offering captured a larger share of our sales mix, and during the beginning of the quarter, the last remaining benefits of a lower FIFO inventory sell-through. In the face of continued supply chain challenges, we will continue to implement our mitigation strategies, which have proven effective.  While we will no longer benefit from lower-cost inventory layers as current inventory now fully reflects the higher-cost environment, we do expect ongoing initiatives to support our margin profile. This includes efforts to drive higher margin sourcing channels, pricing analytics, and freight optimization. We believe we will be able to build upon our recent full-year margin results. This is in line with our long-term goal of enhancing annual margin performance subject to the normal seasonal variations arising from product and customer mix.  Selling, distribution, and administrative spending for the quarter was $70.9 million or 27.1% of net sales, up 80 basis points as a percentage of sales from last year. SD&A primarily reflects increased marketing investments, [Indiscernible] product lines, and growth initiatives. We continue to maintain strong cost controls, but expect to see higher levels of SD&A in 2022 as we made growth-related investments in the key ace focus areas, Barry outlined earlier, and face additional wage pressures given the tight labor market.  Operating income from continuing operations was $26.1 million in the fourth quarter, a 23.7% improvement from the year-ago period. Operating margin expanded 230 basis points to 10%, our second consecutive quarter of double-digit operating margin performance and the first time we have reached double-digit operating margin in the fourth quarter.  Net income from discontinued operations was $22.7 million and was primarily related to the resolution of certain liabilities of the former North American technology business. Total depreciation and amortization expense in the quarter was $0.9 million, while 2021 capital expenditures were $3.4 million.  We continue to review our distribution network and evaluate opportunities that would position us closer to our customers and improved service levels. With the plant investments very noted in the potential expansion of our distribution network later this year, we expect 2022 capital expenditures to be in the range of $7 million to $9 million. Operating cash flow from continued operations has generated approximately $5 million in the quarter and provided over $47 million for 2021.  Let me now turn to our balance sheet. We have a very strong and liquid balance sheet with the current ratio of 1.7 to 1, as of December 31, we had over $15 million in cash, approximately $4.5 million of debt, and availability of over $66 million under our $75 million credit facility. As a reminder, approximately $38 million of cash was used in the final week of the quarter to fund our $1 special dividend that was paid on December 27. We maintained significant flexibility to fully execute on our strategic plan and continue to fund our quarterly dividend.  As a result, our Board of Directors has increased our quarterly dividend for the sixth consecutive year since we established the quarterly dividend in 2016. This increase of approximately 13% will result in a quarterly dividend of $0.18 per share of common stock. We anticipate continuing a regular quarterly dividend in the future. This concludes our prepared remarks today. Operator, please open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] At this time, we will pause momentarily to assemble our roster. Our first question will come from Anthony Lebiedzinski with Sidoti & Company, please go ahead.
Anthony Lebiedzinski: Thank you, and good afternoon. Thanks for taking the questions. So definitely, solid quarter, all things considered. So just this first, I actually, as far as the open orders that you guys said that they were elevated that you weren't able to fulfill, do you guys have a ballpark estimate as to how much that impacted the top line?
Barry Litwin: Yeah. Anthony, how are you doing this, Barry? Thanks for joining.
Anthony Lebiedzinski: How are you?
Barry Litwin: Great, good. Great question. And as we had said, our open order book has really doubled from where it was in our prior year, but it has really flattened out relative to the last several months which is actually a good sign as some of an in-stock positions get slightly better. We generally aren't very specific about the amount and the impact sales, but it's certainly had some friction in our overall sales throughout the year.  And we believe that as the supply chain scenario starts to smooth out, we're not quite certain when that will be, we hope we see some relief towards the back half of the year, but all indicators are saying we'll see much smoother environment in '23. We would expect that topline performance to be able to get better given improvement in overall in stock rates.
Anthony Lebiedzinski: Got it. Okay. Thanks for that. So at this point, you guys are just about halfway through the first quarter. Can you just give us some color as to what you're seeing out there from a demand perspective of -- Just wondering if you guys could provide color on this thing so far from Q1?
Barry Litwin: Yes. I mean. I think from my standpoint, look, the demand environment, I think, remains really healthy for us right now. I think when you take a look, we're definitely seeing a market that is more robust for demand, particularly core products are continuing to do well. But I think there's always some hedge relative to the supply chain challenges that we tend to try to navigate each day. But I think the industry is forecasting a fairly strong market. And we're starting to see some good performance there.
Tex Clark: And Anthony, I think the only thing I would add to that would be, as you know, we were down modestly in the third quarter. And then in the fourth quarter, we did improve our rate as we moved throughout the period with our overall 3.5% ADS for the quarter. But we definitely saw the demand environment strengthen as we move through the fourth quarter. So again, like Barry said, we do believe there's a strong demand environment out there right now.
Anthony Lebiedzinski: Got you. Okay. And then just so -- your inventory was up 31% from last year. So it seems like you guys should have, well, I know there's still a lot of the supply chain constraints out there, but as far as that inventory increase. How should we think about that as far as your ability to fulfill the orders that you have out there, is that a competitive advantage for you to be in a -- to have the inventories availability that you have right now?
Tex Clark: Yeah. Barry, I'll jump in on that. You can you can also add some color. So Anthony, obviously, as you mentioned, the inventory value -- the value of the inventory is up substantially almost $170 million to end the year. A portion of that, which I don't think is unique to Global, is significant inflation. We know that costs are outbound, both on transportation that gets capitalized into the good cost of goods, as well as overall product inflation.  So there is an impact of inflation in that number, as well as the length -- the supply chain -- the lead time on supply chain. So with extended lead times of procurement, you increase your safety stock levels which have more product that's call it, "in transit " at any given point in time which causes that overall inventory value to increase while it's not directly related to more physical product on hand. So it's really more of a valuation increase than directly into the more product. But again, I think our inventory levels as a whole do support our business and gives us a competitive advantage and that's why we do employ this stocking strategy than we do, especially on our private brand product. I don't if Barry, if you want to add anything to that?
Barry Litwin: No, I think it was pretty clear. I think your high velocity items, I think throughout the year tended to have the most challenge. But I do think that like Tex had said the inflationary markets had a huge impact on overall cost, and I think that's what's been impacting it.
Anthony Lebiedzinski: Got it. Okay, perfect. So as you look to get into additional verticals, you talked about the public sector that you're looking to get into more. I know you guys put out a press release about that in January, so any sort of idea as to what the total addressable market opportunity is as you go into some of these different verticals?
Barry Litwin: I mean, if you take a look at -- I mean, the public sector is massive in terms of the total overall size, and it's in the highly fragmented market as well. So, we've been in the government K212 public sector general market for some time. But we've made incremental investments right now to be able to scale much faster into the market at this point. So highly fragmented, good opportunity for us to expand sales, and we're investing accordingly to get into that segment.
Anthony Lebiedzinski: Got you. Okay. And then if I could just squeeze in a couple more questions here. So as far as your margins, obviously, very impressive gross margin, operating margin. I know, Tex, you talked about some headwinds as far as from a cost perspective. Can you just talk about how should we think about broadly for your gross margins and operating margins looking forward to 2022?
Tex Clark: Yeah, I can jump in there as well. If you think about the gross margin line, Anthony. Also, we did exit the year at 37% gross margin composite and that was a new record over 36.8 that we had in Q3. Over the year, clearly as you think about FIFO inventory getting a little bit accounting technicality but getting -- looking at FIFO inventory, as we started seeing those increases in costs throughout December and into the fourth quarter, we began using our pricing intelligence team to really identify areas where stocking allowed us to increase prices selectively.  To really look at, kind of get to a price cost neutral environment. But because of FIFO, you are able take advantage of some margin on the upside because you're selling through that lower cost inventory at those new selling prices. So that gives you a definitely a margin uplift, which benefits, and then ultimately, will elapse.  And we think that kind of fully baked in now, as we exited the year, in terms of the cost of inventory. However, when we think about what drives margin, we've talked a long time about our private label and private brand strategy, which has a substantial margin benefit to us, as well as high value to the customer in terms of the product at a price point, as well as quality of the product.  And so that's a strategy that have long legs for us, and we believe there's a lot of opportunity to continue targeting that margin. So again, while we exited the year at 37, full year in the low 35, we do think that we'll be able to improve on that margin rate as I mentioned in my remarks a few moments ago for the full-year rate basis.
Anthony Lebiedzinski: Got it. Okay. That's perfect for that. And then just to follow up on that, as far as private label. So I know it's 45% of your revenue last year and you goal that you guys have in mind as to how far you want to take the private label penetration as a percentage of sales.
Barry Litwin: You know what, I will tell -- it's a good question. I think that there certainly is additional penetration growth that we can go after. It's not a 100%, but I think that given our strategy right now as we expand into some incremental different verticals, we've got opportunity to increase the total pie of our volume.  So as our percentage goes up, so does our margin and so does our competitive advantage. So I wouldn't say there's necessarily a top end goal of where we think, but we definitely look to push incrementally each year in the sub categories where it matters. So we could be, for example, any way as high as 80% in some categories, we could be down as low as 20% in others. So we set targets based on category and the penetration.
Anthony Lebiedzinski: Got it. Okay. And then, last question for me. It's been a while since you guys have done any acquisitions. Can you just talk about whether you are still evaluating acquisitions? How should we think about that?
Barry Litwin: Yeah. And we've certainly had that as part of the overall ACE strategy, Anthony, we're constantly monitoring the market where we can make -- find a great strategic fit for us, to expand in a category that makes sense for us when we can cross-pollinate our own assortment into a strategic acquisition would make sense. And we continue to monitor the market for that and we're constantly looking.  So it has been a part of our strategy even though we had not made one in some time. It's definitely on the radar for us.
Anthony Lebiedzinski: Got it. Okay. All right. Well, thank you. And best of luck.
Barry Litwin: Thanks, Anthony.
Tex Clark: Thank you, Anthony.
Operator: This concludes our question-and-answer session, which also concludes the conference for today. Thank you for attending today's presentation. You may now disconnect.